Operator: Ladies and gentlemen, good morning and welcome to the HSN, Inc. First Quarter 2017 Earnings Conference Call and Webcast. This call is being recorded. Following the conclusion of today's discussion, the HSNi team will be taking your questions. With that, I'd like to turn the call over to Art Singleton, Senior Vice President, Treasurer and Investor Relations. Mr. Singleton, please go ahead.
Arthur W. Singleton - HSN, Inc.: Good morning, everyone, and thank you for joining us. On this morning's call, we have the members of the Office of the Chief Executive; Rod Little, Chief Financial Officer; Bill Brand, Chief Marketing Officer of HSNi and President of HSN; and Judy Schmeling, Chief Operating Officer of HSNi and President of Cornerstone Brands. Rod will initially review our financial performance, and then Bill and Judy will review their respective business units. As always, some of the statements made on this call may be forward-looking and as such are subject to many factors that could cause actual results to differ materially from expectations reflected in the forward-looking statements. Additional information regarding these factors as well as various risks and uncertainties can be found in HSNi's earnings release filed with the SEC and available on the company's website. HSNi does not undertake to publicly update or revise any such forward-looking statements. In addition, on today's call, there will be references to certain non-GAAP financial measures. These are described in more detail in the company's earnings release and SEC filings available on the HSNi website. You are encouraged to refer to the press release and SEC filings to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP results. I will now turn the call over to Rod.
Rod Little - HSN, Inc.: Thank you, Art, and good morning, everyone. On the last earnings call, we articulated that 2017 would be a year of stabilization and growth regeneration. We also said the first quarter results would be impacted by the challenging retail environment and incremental costs related to our supply chain optimization initiative. Across all of HSNi, we're working to maximize profitability while restoring top line performance and investing in operational execution for future efficiency and leverage. As we outlined in our last earnings call, our key priorities are focused on driving customer acquisition, retention and spend; optimizing our digital platforms, particularly mobile; attracting and developing talent across the organization; and building upon our proprietary product pipeline and investing in key consumer growth categories and experiences. At HSNi, sales were down 4% in the first quarter. However, after adjusting for the effects of the two Cornerstone brands we divested in September of 2016, TravelSmith and Chasing Fireflies, and the additional day for leap year, HSNi sales were down 1%. HSNi's digital sales increased 3% adjusting for the divestitures while penetration increased 200 basis points to 54%. Gross profit decreased 60 basis points with operating expenses down $5 million or 2%. GAAP and adjusted EPS were $0.40 compared to $0.54 last year. The current year's results were affected by additional costs of approximately $4 million, or $0.05 per share, related to the continued implementation of our supply chain optimization initiative at the Piney Flats, Tennessee facility. Judy will update you in more detail about our supply chain initiative in her remarks. At HSN, sales decreased 3% to $561 million. Excluding the extra day in 2016 for leap year, sales decreased 2%. Sales grew in apparel and accessories, kitchen and home, offset by decreases in other categories. Bill will provide more context in his remarks. We also had lower shipping revenues, largely from changes in our standard shipping rates that took effect last August, as we previously articulated and increased promotions. Digital sales grew 3% with digital penetration increasing 290 basis points to 47%. HSN's return rate improved 160 basis points primarily due to experiencing lower overall return rates in many product categories and a mix shift to categories with lower return rates. Average price point increased 4% largely due to product mix. Units shipped decreased 8%. Gross profit decreased 4% to $191 million with gross profit margin down 40 basis points to 34.1%, primarily driven by a decrease in shipping revenue and higher costs related to the supply chain optimization initiative. This was primarily driven by increased labor, which was partially offset by an increase in product margins. Excluding the impact of the supply chain optimization initiative, gross profit margin would have been flat. Product margins were also favorably impacted by less clearance activity this quarter. However, HSN continues to carry excess inventory that could create future margin pressure, as we move through this inventory. Operating expenses increased 3%. Operating expenses excluding non-cash charges also increased 3% to $143 million. We incurred approximately $2 million related to the supply chain optimization effort, driven largely by consulting fees. We also had increases in bad debt expense, employee-related costs and digital marketing. These increases were partially offset by the higher advertising costs in the prior year related to the expansion of the Ingenious Designs wholesale business. Adjusted EBITDA decreased 20% in the first quarter to $49 million. Operating income decreased 24% to $38 million. Turning now to Cornerstone, sales were down 6% to $225 million. Excluding the impact of the divestitures, sales increased 1% and digital sales penetration increased 120 basis points to 72%. As a reminder, Cornerstone was not impacted by leap year, as it operates on a standard 52/53-week retail calendar. Gross profit decreased 9% to $82 million and gross profit margin decreased 130 basis points to 36.5%. Excluding the divestitures, gross profit decreased 3%. The home brands, in particular, experienced lower shipping margins, driven by higher promotional activity, partially offset by higher product margins, driven by strategic pricing initiatives. Operating expenses excluding non-cash charges decreased 10% to $76 million (sic) [$81 million] (7:48). Excluding the divestitures and non-cash charges, operating expenses increased 2%, primarily due to employee-related costs. Catalog costs decreased due to lower circulation, offset by increases in digital marketing, as the portfolio continues to intensify its digital strategy and supports retail store expansion. We opened one new store in the first quarter and have plans to open three more in 2017. Cornerstone's adjusted EBITDA was $6 million, an increase of 10% from the prior year. Excluding the divestitures, adjusted EBITDA declined $4 million due to lower performance in the home brands and the absorption of approximately $1 million in fixed cost from the divested businesses. Despite the challenging environment, Garnet Hill achieved record first quarter EBITDA results. Our board just approved a quarterly cash dividend of $0.35 per share payable June 21 to shareholders of record as of June 7. During the quarter we made no share repurchases, and we have 2.7 million shares remaining under our existing share repurchase program. Before I turn the call over to Bill Brand and Judy Schmeling to discuss our HSN and Cornerstone businesses, it is worth reiterating that the overall retail environment remains challenging. Going forward, my primary focus is to optimize our portfolio for growth. That will include efficient and effective resource allocation, with a rigorous expense management discipline to drive shareholder value. I will be providing you ongoing updates on our progress. With that, I will now turn the call over to Bill.
William C. Brand - HSN, Inc.: Thank you. At HSN, we're strategically focused on our core priorities as we manage through the industry challenges that Rod mentioned. Our attention remains focused on three critical areas; first, retaining and acquiring customers across all channels, including TV, digital, and social. We're particularly excited about our 40th birthday this year to both celebrate existing customers and introduce new customers to the brand. Second, creating differentiated and proprietary product; I'll share more on this in a bit. And third, we're extending our reach across channels with a go-to-market strategy focused on rich consumer experiences with compelling and relevant content. On the customer front, we're pleased with the strength we're seeing from our best customers and HSN credit card customers, both up in the quarter. While there are challenges with customer acquisition, our investment in talent and tools is helping us retain a higher proportion of our existing base. Payment marketing continues to be a strong performer for us, with our Visa Checkout campaign contributing to both our customer file and sales. We're balancing both short and long-term actions to restore growth to our customer file. We're doubling our targeted marketing reach, increasing direct mail, and utilizing new digital partnerships to drive sales demand. We're further investing in attracting customers using new tactics, such as Google Display Network, content discovery networks, and new search marketing capabilities. To drive long-term overall growth, we need to expand our reach and enhance our brand awareness, relevancy, and consideration. We initiated a major brand strategy project in Q1 which will refine our primary growth targets, inform our messaging, category focus, and channel reach. This distinct body of work will be completed this quarter and will guide us in the back half. Let's focus on digital now. Sales were up 3% in the quarter, with penetration approaching 50%. Orders, average order value, and conversion were all up year-over-year. The increase in conversion was driven by repeat customers using both desktop and mobile. Mobile remains our fastest-growing channel. Mobile sales for the first quarter grew 12%, now 25% of our total business and 54% of all digital sales. Mobile customers increased 13%, with almost half that growth coming from customer adds. 27% of our customer adds are now coming from mobile, and we're seeing increased spend through mobile with the largest sales growth in home, electronics, and apparel and accessory categories. Content plays a key role in differentiating our digital and mobile experiences. We know that information, education, and entertainment married to great product positions us in a unique way in the marketplace. Our live content team is producing work for HSN, HSN2, Facebook, and other digital platforms to drive engagement. We're pleased to be a strategic partner to Facebook, as we focus on new ways to reach prospective customers through live events and direct response ads. For example, in March, for our Beauty and The Beast Disney movie event, we created dedicated Facebook Live video streams and an interactive Facebook canvas. This drove close to 1 million social actions, and more than 3 million impressions overall. During the quarter, we also re-launched our HSN Community experience on a new platform with new forms and blogs. Just a month since launch, we're seeing significant growth, 50 times more visitors, nearly 20 times more page views on the blog compared to just a year ago. And turning to our product portfolio, differentiation is key. Categories that had growth in the first quarter included apparel and accessories, kitchen and home. Our spring fashion event was successful, as was the launch of Danica Patrick's athleisure line. We've seen significant sales productivity increases with both Andrew Lessman's ProCaps Labs business and our Joy Mangano Ingenious Designs business. March was a very strong month for Andrew Lessman. As we put more focus on health and wellness, we value Andrew's connection to our customer through his unique educational approach. And we are excited to celebrate the 20th anniversary of Joy Mangano's huggable hanger this year with special offers each month, as we approach the incredible milestone of 1 billion huggable hangers sold. Chief Merchandising Officer, Carmen Bauza, joined us six months ago. Carmen is focused on improving gross margins and profitability. She is working to improve underperforming categories by infusing newness, emphasizing proven brands, building our proprietary pipeline, and investing in growth categories and experiences. In April, our first Music City: Nashville event resonated with our customers. We celebrated the music, fashion and food of Nashville with new fashion brand launches, one from Sheryl Crow and a second from Hillary Scott of Lady Antebellum. This exclusive Nashville event had significant social awareness that drove more than 6 million impressions, including Facebook Live, which drove 1.4 million of those impressions. Kimberly Schlapman of Little Big Town launched a kitchen line, which added excitement to our Cooks Event. In fact, we launched a total of seven new brands in the event, including Rick Bayless and book launches by Jessica Seinfeld and Chris Santos. As part of our Innovation Event in April, we built a new home set at HSN Studios to show customers how to get the most out of their technology purchases at HSN. And this month, we premier a new merchandising initiative called Connected Life. This work will further elevate our efforts to use content to drive commerce with a focus on key areas we know are important to our customers, including health and wellness, fitness, sleep and smart home. Connected Life will truly demonstrate our unique skills as a content retailer, showcasing our customers how they can improve their lives through product demonstrations, how-tos and tips, all from subject matter experts. To extend our reach, we will share this content through our broadcast channels, a curated digital micro site and, of course, on all of our social channels. We're also excited to kick off our 40th birthday during our Customer Appreciation Event this month. We re-launched HSN during our 30th birthday 10 years ago, and this latest milestone is a great opportunity to re-energize our brand. For our 40th, it's not just a month-long celebration, it's an ongoing campaign throughout the year, focused on great brands and products, entrepreneurship, innovation and entertainment. And while this is a time of change in retail and at HSNi, I am committed to staying focused on our key priorities: driving customer growth and profitable sales growth through product innovation and unique experiences. I'm proud of the team across the business, passionate and committed to our business goals. Thank you. I will now turn it over to Judy.
Judy Schmeling - HSN, Inc.: Thanks, Bill. Good morning, everyone. Glad to be back with you all on our earnings call. Strong sales growth at Garnet Hill and Grandin Road was offset by sales declines at Frontgate. We deliberately pulled back circulation at Frontgate due to softer demand amid a slowdown in the luxury market. Although gross profit margin is down, as Rod stated at the top of the call, product margins did expand 80 basis points, mainly due to strategic pricing initiatives. This was most notable with Ballard Designs, Frontgate and Garnet Hill. We offered more shipping and handling promotions in the home brands to stimulate demand, which impacted our overall gross profit rate. Digital growth and penetration continue to see upward traction, as we continue to shift our marketing investment from catalog circulation to digital marketing and improve the website experience. Digital penetration, excluding Chasing Fireflies and TravelSmith, finished at 72%, an increase of 120 basis points to the prior year. To further enhance the checkout experience, we are launching a completely revamped cart and checkout process for desktop and tablet users. Customers will now be able to easily transition from cart through checkout in a more intuitive, step-by-step manner. We have also further optimized the tablet experience through multiple user interface enhancements. I'll take a moment to describe two of the brands in more detail. We are extremely pleased with Garnet Hill's performance, especially in the very competitive women's apparel business. We had strong growth in sales, EBITDA and in our 12-month customer file. Digital penetration increased 175 basis points to 86%. Strong new product introductions with a key focus on gross margins is stealing both top and bottom line performance. I am also excited that the team recently won the 2017 David Ogilvy Award for Reinventing Traditional Media for last summer's innovative Container Store pop-up campaign. We are once again opening up our Bridgehampton pop-up store and we will have numerous events during the summer. These initiatives are all designed to drive brand awareness. Ballard Designs is focusing on product development, driving higher product margins through targeted pricing and proprietary product offerings, balancing larger investments in digital and expanding retail stores to complement the direct business in our largest metropolitan markets. Product differentiation is a key competitive advantage. This includes building our extensive customization capabilities, which will be prominently featured on our digital platforms and in our experiential retail destinations including our newly opened design studio in Natick outside Boston. As we've previously articulated, our retail store strategy isn't just about in-store growth, but overall growth. We see this as a 360-degree experience for our customers: in-store, ship-to-store, and direct-to-consumer. Now that King of Prussia has been open for a year and a half, we are seeing the true potential for this strategy. Our first quarter results show an 80% growth in sales and a 47% higher lifetime value from customers located around the Philadelphia market where the King of Prussia's store is located. Design studios have a 4 times higher average order value and design sales account for 40% of total store sales and growth in the new customer file above what we have seen through catalog distribution and digital. We will continue to bring these experiences to life with opening up the next Ballard Designs Studio in Roosevelt, New York later this year. Overall, I am excited and energized about the potential for the Cornerstone Brands, especially the opportunity to leverage each of the businesses against the full scale of the portfolio, including pooling our strong internal talent across brands to improve overall performance. We see this as being particularly critical considering the competitiveness of the product segments in our space. We have solid strategies in place to differentiate ourselves in the market and improve our financial performance. Our three strategic pillars are creating innovative, differentiated and customizable products; increasing customer acquisition and retention; and improving the digital experience. Turning to operations and specifically at it relates to HSN's supply chain, we continued to make progress in our process and system improvements at our Piney Flats, Tennessee warehouse. As Rod mentioned, we incurred approximately $4 million in incremental costs, almost evenly distributed between increased labor, consulting and freight due to less multi-packing options. At this time, we believe total incremental costs for 2017 will be in the $10 million range. Our labor costs continue to come down, as the management team improves processes. However, labor will remain high until we have the new sorter up and running, which is anticipated to be this summer. We will continue to incur incremental freight for the balance of the year until we implement solutions to multi-pack larger items, which are not conducive to our automated environment as currently designed. As was previously discussed, the majority of anticipated savings were to be realized from the consolidation of the Virginia and Tennessee facilities. We are in the process of re-establishing timelines for the (22:10) and revalidating our business case assumptions. We will continue to update you as to estimated timelines and associated savings as we progress. Rest assured, our number one priority remains to deliver on our commitments to our customers. Before I close my remarks, I wanted to take a moment to recognize Mindy Grossman and her leadership here at HSNi over the past 11 years. She has been a visionary who helped transform this business, and I will miss her both personally and professionally. We've been on many of these earning calls together over the years, and it won't be the same without her. We all wish her the best. We'll now take questions.
Operator: Thank you. The first question is from Eric Sheridan of UBS. Your line is now open.
Eric J. Sheridan - UBS Securities LLC: Thanks so much for taking the question. Maybe just directed on the cost side, I think there's a lot of initiatives now in place that continue to realign the costs of the business against where you want to go on both engagement and conversion of customers. Just maybe a little bit of color on how the cost initiatives might transform the business over the next one to two years and how investors should be thinking about that playing out in the numbers sort of on the quarterly cadence? Thanks so much, guys.
Rod Little - HSN, Inc.: So, good morning, Eric. It's Rod here. We've been looking at cost not only in context of what we need to do this year, but the overall trends that we've been seeing for the past 18 to 24 months. And so we're looking at that not only to build back margin, but also to reinvest in the business, and I'll let Bill talk about where in a moment, but we know we need to have a great product portfolio and lineup. We know we have to have a digital capability that is very strong and robust, and we know that we need to have a back-end customer experience that is also strong. So we're looking to take costs out in some places to reinvest in those areas and also build back margin at the same time. And it's something that we'll continue to focus on over the coming quarters. It's not just today. That would be part of the go-forward story.
William C. Brand - HSN, Inc.: And Eric, this is Bill. Obviously, and you're aware we've been reinvesting in our digital experience. I think that speaks to the results that we're seeing with our current customers. As we evaluate the costs and re-appropriate funds, we will be looking at what we need to do on the digital side to drive even more demand. And I think I mentioned some of the projects underway, some of the tests underway, whether it's with our Google Display Network, our content discovery networks. We are focused on what we can do to attract more people to our brand, and we know that's going to cost dollars on the marketing side, and we have many tests in the market to be able to drive that demand.
Eric J. Sheridan - UBS Securities LLC: Thanks for the color.
Operator: Thank you. The next question is from Tom Forte of Maxim Group. Your line is now open.
Tom Forte - Maxim Group LLC: Great. Thanks for taking my question. I wanted to direct this one at Bill. Bill, when you think about the current state of the consumer for HSN, does this feel anywhere like the really challenging period of 2008 or 2009, or is it just a reflection perhaps of incremental competitive pressure from discounting by a lot of your peers and then, to the extent that there's a lot of pending store closures and the prospect for further discounts, or is this somehow a reflection of incremental competition from online players, most notably Amazon? Thank you.
William C. Brand - HSN, Inc.: Hi, Tom. And thanks for the question. So we obviously are very connected to our customer, and have this ongoing relationship with her, and we certainly study that quantitatively and qualitatively. Our customer – and as you've seen in our results, the strength that we see is with our loyal customers, and I think that's something that's unique about our business model. Where we're seeing the pressure is bringing new customers into the fold, and I think that speaks to your last point around the competition in the digital space. Driving brand awareness and driving customers all the way through to purchase is the challenge. And, as I mentioned earlier, as we look at investing, we need to be investing at that brand awareness piece at the top of the funnel, and then ultimately work them through that funnel all the way through from consideration to purchase. It's a different process than just kind of putting it out there on TV or on digital, and perhaps in the past, we have to work a little harder, but we have the tools again to be able to do that, and we'll be making the investments as well.
Tom Forte - Maxim Group LLC: Thank you.
Operator: Thank you. And the next question is from Alex Fuhrman of Craig-Hallum Capital. Your line is open.
Alex Joseph Fuhrman - Craig-Hallum Capital Group LLC: Great. Thank you for taking my question. Definitely some really big shoes to fill in the CEO spot, with Mindy leaving at the end of the month. I was wondering if you could talk a little bit about the timeline for the CEO search and some of the things that the board is really going to be focusing as you look for the next leader of the company.
Rod Little - HSN, Inc.: Well, Alex, there's three of us here to fill the shoes.
William C. Brand - HSN, Inc.: Working well together.
Rod Little - HSN, Inc.: Yeah. We're working well together, but I think we have to leave that to the board. It's the board's process, board's decision, and until they work through that, the three of us will be here leading the daily business.
Alex Joseph Fuhrman - Craig-Hallum Capital Group LLC: Sure. That makes sense. And if we could talk a little bit about the outlook for the next couple of quarters, sounds like there's a couple of moving pieces there. Rod, you mentioned some inventory issues that could impact gross margin. Was that in reference to the current quarter here, or perhaps in the back half of the year as you look to move some of that inventory? And then similarly, with the supply chain optimization cost, sorry if I missed some of that, but if we could kind of get, what to expect there in terms of cost over the next couple of quarters as we think about our models. And then anything you could share with us about quarter-to-date trends would certainly be helpful as well.
Rod Little - HSN, Inc.: Sure. So let's start with the first part and take them in order. In terms of progress and how we see the year unfolding, we don't have forward-looking guidance, but I'd tell you, and it's consistent with what we've talked in the past. I personally look at this in halves, and I think we're in this first half where the environment is as we stated on the call. We're a little more bullish, as we get to the back half, that we can see better performance for all the reasons Bill and Judy laid out in their conversation. So we have to make that happen, but that's how we see it. The inventory commentary and some of the margin elements, the inventory overall is down. We have it fully reserved for, but the amount of aged we have ticked up a little bit. It's not a material change versus the prior quarter, but it's something that we're going to work through, and we've also talked as a group, is working through that in the coming weeks and months. And so as we do that, that's a tradeoff around margin, and that could be a bit of a drag. I think, as we've talked about Piney Flats, the investment there, Judy reconfirmed the $10 million we had outlooked last time. I think we talked about that largely being in the first half of the year last time. As we look at the execution, we are going to have some of that cost in the back half of the year, I think still predominantly in the first half, but in the back half as we get everything up and running as we'd like, with the summer being the real focus area of getting the sorter up and running. Anything else, Judy? Good?
Judy Schmeling - HSN, Inc.: No, that covers it. Thanks, Rod.
Rod Little - HSN, Inc.: Alex, anything else on that?
Alex Joseph Fuhrman - Craig-Hallum Capital Group LLC: No, that's good. Thanks very much, Rod.
Rod Little - HSN, Inc.: Thank you.
Operator: Thank you. The next question is from Heather Balsky of Bank of America. Your line is open.
Heather N. Balsky - Bank of America Merrill Lynch: Hi. Good morning. Thank you for taking my call. Bill, I wanted to dig further into challenges in customer acquisition. You did talk about brand awareness and investing in marketing, but I feel like investors are wondering if, I guess, the interactive shopping platform isn't relevant to the younger consumer. And I was wondering if you could address that and why it isn't relevant. Thanks.
William C. Brand - HSN, Inc.: Well, certainly. We look at TV as our greatest demand generator. We're in 91 million homes. We're telling stories, and we're doing that in a unique and different way, and we're doing that through content. That is more relevant today than ever because that is a content machine that we can then leverage across all platforms. It's not just a platform that we have to take into consideration as we're growing our customer base, we also have to look at the product mix and the brands that we are focused on that will drive both our current customers and bring new customers to the fold. That's why the investments that we're making in fashion the way that we are and the strength that we're seeing from people like IMAN who brings an amazing following to our network, the Vince Camuto brand, one of our strongest apparel and accessories brands. As we balance the different product categories, we're able to then attract even more new customers to the fold. So it's a combination of the platforms and how we reach these customers and build that awareness, the product and the product mix and brands married to the overall content experience. And we balance that across all platforms. And as we've talked about in the past, TV is a great demand generator, it's a great loyal customer platform, digital is a little bit younger, and mobile and the growth that we're seeing in mobile gives us the confidence that we're going to continue to be able to grow the file and attract a new customer. We target millennial moms as the entry point to HSN, and what's unique about this business is that they spend a lot of time with us. So they might come in at 30 or 35 and they're shopping with us in their 50s. That's really the beauty of our business model, and how we've been able to invest on these digital platforms to even deepen that engagement, I think, is really unique in the marketplace.
Heather N. Balsky - Bank of America Merrill Lynch: Okay. Thank you very much.
Operator: Thank you. The next question is from Anthony Lebiedzinski of Sidoti & Company. Your line is open.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Good morning, and thank you for taking the question. So as far as product differentiation, as clearly that has been a factor driving your sales in the past and with your new chief merchant in place now for a few months, can you talk about any – can you talk about the product pipeline perhaps for the back half of the year? What are some of the categories that you're most excited about as we look forward?
William C. Brand - HSN, Inc.: Thank you, Anthony. Good morning. Yeah, it's great to have Carmen on board and, certainly as a strong merchant, certainly understands the fundamentals, and getting her up to speed on this unique business model has been our number one priority. And I think hearing it internally and from our external partners, everyone is so thrilled that Carmen is on board. Her focus initially, as I said, is to get to understand the business and the unique business models. She has focused across the entire portfolio at finding the balance and attracting – building that newness within the current brands and infusing that as well as attracting new brands to the fold. And I can tell you that we are in market every single week, meeting with new brands and attracting them to the portfolio. Where we continue to see some nice strength is in the apparel side, as I mentioned, our spring fashion, a couple new launches there. On the beauty side, we're looking at that hair space as a growth category. Carmen is invested in attracting more color and makeup to the network. We have a very strong skincare. She'd like to balance that out on the makeup side. We're continuing to look at our home space. I mentioned the strength there. We see a great opportunity for our home team to continue to build out the crafts business. We had a spectacular crafts event in the first quarter and we'll be continuing those going forward. So it's not a complete new merch strategy. It's really understand the business, find out where do we need to infuse newness, where is that innovation needed, and then how do you add a little bit of sizzle to the top on a couple of those big new opportunities to create experiences. But again, we're very pleased to have Carmen with us.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Okay. Great. Thank you for that color. And switching over to Cornerstone, your catalog circulation was down 14% that is excluding the TravelSmith and the Chasing Fireflies, and your sales were up 1%, so nice balance there. How should we think about the catalog circulation on the go-forward basis?
Judy Schmeling - HSN, Inc.: Sure, Anthony. And just to level-set that, part of that catalog circulation was also because of leap year. So it was a little bit distorted. So if we were truly to look on it comp-by-comp, catalog circulation was down 5%. And I say that we're going to continue to see those trends. Some brands, we're actually investing more in circulation because we see the productivity increases on those. And other ones, we are contracting that to really balance that. And then across the portfolio, we are leaning more into digital marketing to drive those sales. So I say that you probably continue to cease (36:17) that balance down 5% right now.
Anthony C. Lebiedzinski - Sidoti & Co. LLC: Got it. Thanks so much.
Judy Schmeling - HSN, Inc.: Thank you.
Operator: Thank you. The next question is from Jason Bazinet of Citi. Your line is open.
Jason B. Bazinet - Citigroup Global Markets, Inc.: Good morning. So it feels like we're coming up on two years of weaker sort of retail sales. And in a lot of industries when the top line gets tougher to come by, industries consolidate. And I was just wondering if you think it's sort of more likely either that you pick up assets because you see opportunities of brands or companies that might be more willing to sell in the past or do you think it's more likely that you guys might become part of a larger organization or do you feel like you've got a robust enough standalone plan and really nothing's changed, even though we've sort of been going through this difficult period for the last seven or eight quarters.
Rod Little - HSN, Inc.: Yeah. So, Jason, we see the same trends you do. We're very clear on the performance. We think we're robust enough to go forward standalone. We've got a multiyear plan in place that we've worked with the board and we're in year one of that plan now. So we're confident that over time we can make the right investments and changes in the business to get growth back in the business and drive the margin expansion we talked earlier. We are fortunate that we're a good free cash flow generator. And as part of the growth strategy, we are always open and looking at things that will make us stronger and accelerate progress, and a lot of things come by us. So we're open to that. It has to be things that make sense, would be accretive, low risk, and leverage our strengths or bring new capabilities to us. As far as us being with someone else, that's not in our control.
Jason B. Bazinet - Citigroup Global Markets, Inc.: Okay. When you mentioned earlier about optimizing the portfolio for growth, I didn't quite understand that comment. Is that more asset sales, disposition of brands?
Rod Little - HSN, Inc.: No. Not around asset sales. We are very comfortable with the portfolio we have now. I think Judy has got her business set with the way she wants it in the five brands. We think we can invest and grow in. And on Bill's side, it's more about getting the spending behind the categories that we think we can grow. He has been more intentional around that spending internally.
Jason B. Bazinet - Citigroup Global Markets, Inc.: I see. Okay. Very helpful. Thank you.
Operator: Thank you. The next question is from Barton Crockett of FBR. Your line is open.
Barton Crockett - FBR Capital Markets & Co.: Okay. Great. Thank you for taking the question. And I guess one of the things I wanted to try and understand a little bit better, if we can, is what is driving some of the top line weakness here in the TV shopping segment a little bit more granularly. And I wanted to maybe approach it this way, that the folks over at QVC on their fourth quarter call, they were suggesting that the weakness that they were seeing in QVC U.S. was mainly rotation of customers to a cheaper product. They were selling as many units. People were watching their channel as much as ever. People were shopping as frequently as ever. It was just that the product mix had kind of shifted to lower priced products. For you guys, I'm wondering if you could tell us in those terms what it is. Is it that you're seeing growth, I guess, in product pricing, average price of products sold here in the first quarter on the core HSN segment? But is it a dip in frequency of shopping, a dip in viewership? What would you explain as kind of the driver in those terms?
William C. Brand - HSN, Inc.: Yeah. No. Thank you, Barton, for pointing that out. Certainly, that speaks to that loyal customer again that I mentioned at the top, the idea that this customer is here, she is shopping with us frequently, and she is actually spending a bit more with us. As we look at the overall product mix, how do we continue to shift and build that loyalty with that customer. There are – obviously with the way that people are consuming content, there's changes on that. We've talked about that. We addressed that on the TV side, how do we get that customer to engage with us on digital, how do we get that customer to engage with us on mobile. Those are all of the – it's a complete ecosystem story for us. It's not just about one channel. That's why we really work at diversifying the product portfolio and focus on building a mix that has that sense of newness and a sense of innovation. Because we have to – content is so important to us, we bring that to life in a way that no one else does. That's really what inspires customers. So, as I'm working on new efforts to build brand awareness, it's to really highlight what really works for our business, and introduce new people to this story.
Barton Crockett - FBR Capital Markets & Co.: Okay. But I mean, to be specific, in the first quarter, was viewership on the channel stable or was it down a little bit?
William C. Brand - HSN, Inc.: We don't measure viewership. That's not a key measurement for our business. So we really – we measure our business, as you know, more on the sales side and on the customer side. So while we're a fully distributed cable network, as we've expanded distribution of HSN2, our focus is to put all of these pieces in place to really reach out and have customers discover what is unique and special about us, and that's what we're doing on each one of these platforms.
Rod Little - HSN, Inc.: And, Barton, I would add on the cable distribution side. Like Bill said, we don't have good measures for live TV. We're getting some new metrics for that, in terms of having a tighter correlation for that, but you do have total household subscriber base slightly declining. We don't think that's a big deal for us. A lot of that's the younger group who is maybe not our core demographic going OTT, which, by the way, we're completely covered there on all of the platforms, but we look at that and we think we actually have upside on that part of the business, because we have shop-by-remote opportunities. If you look at where we are today versus a couple years ago, we're fewer households in shop-by-remote, primarily behind Comcast technology changes that we're working to get that number back up. We've got increases in HD carriage coming where we had a couple of gaps. We'll have some more HD coming online. And then the other thing we have, as we look through this, we're working through new agreements with a lot of the big cable providers that are more incentive-based and better align our interests as we go forward, and we think that will be positive for us moving forward as well.
Barton Crockett - FBR Capital Markets & Co.: Okay. Now one of the things you were suggesting is, you're doing some work on brand positioning for HSN, and it sounds like you're still kind of in that process, that you haven't reached the conclusion yet, but at this point, are you – should we expect, at this point, that it's likely that there will be more expense attached to marketing as we go through the balance of the year, to help try and reinvigorate the top line?
William C. Brand - HSN, Inc.: So our brand awareness work will be focused on really what is special about this business, and how do we attract new people, and there is marketing involved in that, and Judy and Rod and I are working together to figure out, where can we have those cost savings so we can reinvest in that. We don't see that as incremental spend. We see that as a reinvestment and a reallocation.
Barton Crockett - FBR Capital Markets & Co.: Okay. That's helpful. And then one final thing, just on the Cornerstone side. It sounds like the Frontgate catalog, you pared back the circulation, you were citing some concerns about the luxury market. I was just wondering if that is – were those concerns just particular to the product assortment at Frontgate? It strikes me as a decent backdrop for luxury with the stock market up, real estate values seem to be holding in pretty decently. So is this a statement about the broader luxury market, or is it just something particular to where Frontgate was positioned at this point?
Judy Schmeling - HSN, Inc.: Well, I think it's both. I mean, definitely, we are in the process of really reinventing and having a lot more new product introduction at Frontgate. But definitely, there has been a slowdown overall in the higher end market across the board. It's not necessarily always correlate-able to what's happening in the stock market. We don't see that as an issue long term for our business, and I think that we're taking this as an opportunity to really right-size how we're prospecting for new customers, and continuing to engage with our core customers.
Barton Crockett - FBR Capital Markets & Co.: Okay. That's great. Thank you guys very much.
William C. Brand - HSN, Inc.: Thanks, Barton.
Rod Little - HSN, Inc.: Thank you.
Operator: Thank you. The next question is from Matthew Harrigan of Wunderlich. Your line is open.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thank you. Two questions. First one is a little funky. If you go over to Europe, some retailers, particularly on the fashion side, are starting to do some interesting early things with AI, I mean digital search. I mean you take a picture of a shoe or a handbag with your smartphone. A company, I think it was called ASOS, is doing that, at least on a trial basis. And then also, I know Burberry was pretty active on chatbots at London Fashion Week, trying to foster more loyalty there, and there are some people, consultancies, who really think that AI is going to have a big impact on retailing, and you've got a lot of relationships, a lot of data. I'd be curious where you were thinking on that. And then I guess, I know you don't like talking about your frenemy, QVC, but it seems that they have the flipside of your problem. I mean they're getting a decent traction on the new customer side and their sales are down, and I think you're having more issues on the new customer side. I know you do at least as much as they do in terms of event programming, but is there something with the category mix? I mean they're more oriented toward fashion than you are, or is it just kind of one of those inexplicable noise things in the environment that's really kind of tough to figure out? Thanks.
William C. Brand - HSN, Inc.: Thanks. It's Bill. I'll take over on the fashion side. I think, as you're seeing in the marketplace, there's certainly a number of tools that are out there. We explore those. But really what we've been investing in is personalization. And we have been focused on how do we create an experience that's for me, in terms of the customer that's unique for me. And that's really some of our digital play. So when we know – the more we know about a customer, the more we can serve up things that she loves, particularly in that fashion side. We did a couple of tests in the back half of last year and in the first quarter around get the looks and styles, so we could put those together in a very dynamic and interesting way. And it was a nice engagement tool. Once we get them to that digital platform, the more we know, the more we can do some things. We've also been partnering with IBM on the Watson, and so on the artificial intelligence and on machine learning. Those are all things that we are investing in, that will make us smarter and deepen that relationship with the customer. Because the more we know about her, the more we can be personal to her and she will then thank us for that and stick with us. So, that's really been something that we've been exploring across all of our platforms. And I know in Judy's space in Cornerstone, you've actually done some tests as well.
Judy Schmeling - HSN, Inc.: Yeah, we've done some tests on the home side where you can take a picture of the furniture and actually have it in your room. And we're continuing to experiment with those type of technologies. I do think that it is the growth of the future, as you were commenting on what they're doing over in Europe with fashion brands. So we'll continue to play around with that where it makes sense. But to Bill's side, we also think we have a lot more opportunity on that personalization and one-on-one customer experience as well.
William C. Brand - HSN, Inc.: I think you had another question on product mix. Was that your question?
Matthew J. Harrigan - Wunderlich Securities, Inc.: Yeah. No, it was really just kind of why is it that you and QVC, to some extent, have a flipped problem? I mean they're more downward than you are on their best customer sales. And they're doing pretty well on customer acquisition at least as of Q4. And your difficulty seems to be somewhat reversed. I mean your sales mix for existing customers is better than QVC and you're having more issues on the acquisition side. I know Mindy has always been a big advocate and you as well, been big advocates of event programming and enticing the viewer. But is there something relating to, to say, mix or fashion or technology that is just making it more difficult for you to get customers relative to QVC or is it just kind of noise in the environment? Thanks.
William C. Brand - HSN, Inc.: Yeah, I think, to your answer, it's the noise in the environment. I think you can look at product mix. They might be a little bit more investing in a certain category like beauty than we are right now and grow that, which we know is a big loyalty driver. So I don't think there's something more there. I believe we rely on new customers at a higher rate than they might. They have a larger base. But again, we don't need to comment on what they do and what we do. What we're focused on is finding the right mix that serves our current customer as best we can and attracts new, and that's really what we're doing, to your point, around these amazing events that we're doing. The Disney event, the Nashville event, our July birthday that our customers will get super-excited for that we have a number of surprises planned. That really energizes our brand. It keeps our current customers engaged with us, and ultimately with the right brands and partners, we can extend our reach through their social channels and bring them into the fold. So working on a number of fronts to attract new customers and keep our current customers shopping with us.
Matthew J. Harrigan - Wunderlich Securities, Inc.: You should've done some Guardians of the Galaxy fashion. That would have really worked.
William C. Brand - HSN, Inc.: I'll get on that.
Matthew J. Harrigan - Wunderlich Securities, Inc.: Thanks.
Operator: Thank you. There appears to be no further questions. I will now turn the call back over to Mr. Little.
Rod Little - HSN, Inc.: Right. Thank you, everybody. Have a great day.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect. Good day.